Operator: Hello, ladies and gentlemen, thank you for standing by for the First Quarter 2022 Earnings Conference Call for Huya, Inc. At this time, all participants are in a listen-only mode. Today's conference call is being recorded. I will now turn the call over to Ms. Hanyu Liu, Company Investor Relations. Please go ahead.
Hanyu Liu: Hello, everyone, and welcome to Huya's first quarter 2022 earnings conference call. The company's financial and operational results were issued earlier today and are posted online. You can also view the earnings press release by visiting the IR website at ir.huya.com. A replay of the call will be available on the IR website in a few hours. Participants on today's call will be Mr. Rongjie Dong, Chief Executive Officer of Huya, and Ms. Ashley Wu, Vice President of Finance. Management will begin with prepared remarks and the call will conclude with a Q&A session. Before we continue, please note that today's discussion will contain forward-looking statements, made under the Safe Harbor provision of the US Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks, and uncertainties. As such, the company's results may be materially different from the views expressed today. Further, information regarding these and other risks and uncertainties is included in the company's prospectors and other public filings as filed with the US Securities and Exchange Commission. The company does not assume any obligation to update any forward-looking statements, except as required under applicable law. Please also note that Huya's earnings press release and this conference call include discussions of unaudited GAAP financial information, as well as unaudited non-GAAP financial measures. Huya's press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited most directly comparable GAAP measures. I will now turn the call over to our CEO, Mr. Rongjie Dong. Please go ahead.
Rongjie Dong: Hello, everyone. Thank you for joining our conference call today. Despite macro challenges that continued to impose near-term pressure on health [ph] and the entire industry, we delivered a healthy user growth and standard financial performance in the first quarter of 2022. Total net revenues were RMB2.46 billion and non-GAAP net income reached approximately RMB47 million for the first quarter, in line with our expectations against the backdrop of the evolving market environment. First, let me give you some color on our user metrics. Our user base sustained its expansion trend with Huya Live, mobile, and mails increasing by 8.5% year-over-year to $81.9 million in the first quarter. The growth was mainly driven by the strong performance of E-sports tournaments fundaments this quarter as well as our enhanced cooperation with game studios. Meanwhile, our user engagement level also improved as we remained diligent in our efforts to provide quality, content and optimize user experience through product innovations, specifically in the first quarter, users' time spent on our platform recorded double-digit growth on both our year-over-year and quarter-over-quarter basis. In addition, Huya Live app, next month user retention rate remained stable at about 7%. Now, I would like to provide more details about our cooperation with game studios and our recent advancements in product innovation. Our interactive feature gift droppers, super game [indiscernible] has emerged as a very popular way to connect the game streaming viewers directly with their game players. By participating in this task type activity, users can claim virtual rewards from both game studios and our platform, once they complete specific combinations of tasks, such as viewing game streaming for a certain period of time and sending certain voice chats. We introduced the feature during our live broadcaster, our Peacekeeper Elite late last year and have now added it to over 10 game titles such as Honor of Kings, LoL Wild Rift, Call of Duty Mobile and Genshin Impact as we continue to deepen our relationships with a variety of game studios.  Excitingly, more than 10 million users on our platform engaged with this interactive feature during the first quarter. In addition to improving user interacting metrics on our platform, more than operating team have noted that the feature encourages turn players to return to games, bolstering user activating rates. In another effort to expand our StarCraft collaboration with gaming titles, we joined exclusive with CrossFire, mobiles, game studio to design and launch an event membership. During the 12 month period our sales produced HUYA CFM championship long-term kappa HUYA CFM [indiscernible] by connecting their CFM game ID with HUYA account, users secured a free membership, which allowed them to complete game play and tournament-related tasks to unlock away our privileges on both the game operators and Huya’s platforms. This initiative helped increase Huya’s exposure within the gaming community and also promoted gamers activity level. In addition, all long-term cup measures [ph] were live broadcasted on Huya’s platform and were also made available on the CFM [ph] in game tournament streaming channel, increasing this self-produced events popularity and reflecting our continuous efforts to connect Huya’s live streaming content with the Tencent ecosystem. Building on these events’ success, we will forge ahead with additional endeavors in this area going forward. We are also looking beyond the world of gaming to innovate more interactive live streaming features. For example, at our January annual gala event, Huya Boom Night we debated as extraordinary music movement [indiscernible] an online real-time interactive musical game play feature designed to make the events’ broadcast distinctive and captivating. This new feature leveraged our in-house developed audio and beat detection technologies to engage users in the musical experience with our fun simple game, collecting bubbles on the screen along with the musical rhythm. Users were scored based on beat accuracy, allowing them to compete with other viewers, while watching artists live streamed stage performance. Merging live musical performances and interactive activities, this new feature created a truly immersive viewing experience, bringing the unique feeling of live performance to users fingertips and broadening the boundary between reality and virtuality. Before I conclude, I would like to provide some updates on our recent strategic initiatives in our overseas business. Given the rapidly changing business environment, both domestically and internationally, we have strategically implemented some adjustments and refinements with respect to Nimo TV's operations, concentrating our resources on future key geographic regions. While these are the -- just could result in short-term contract streams in overseas user expansion and revenue growth, as we downsize our overseas presents in certain areas. We expect to improve the overall efficiency of our international business by directing resources to regional markets with greater potential for profitable business growth at a low cost. We believe this more focused approach will benefit our overseas operations in the long term. In summary, the persistent macroeconomic and regulatory headwinds, along with the impact of the ongoing COVID-19 resurgence in China could still create some challenges as we move ahead. Nevertheless, we are confident in our strategy, and we'll continue to focus on harnessing the strength of our business fundamentals to further improve operational efficiency, as we embrace the regulatory changes. We will continue to work closely with [indiscernible] complying with the government's guidelines and worth by leveraging our operational and technology expertise spanning ABL in the game live streaming market. We also believe that the retraction will not impact the core needs of our users and that we are capable of continually innovating compliant products and features to offer users more choices and better experiences in the world of live broadcasting. As our high-quality content portfolio and the technology and the product advancements solid define, our leadership in the game live streaming market, we will remain committed to serving our growing user base and creating more value for our broadcasters, business partners and all other stakeholders. With that overview, I will now turn the call over to our VP of Financial, Ashley Wu to share more details on our operating metrics and financial assessment. Ashley, please go ahead.
Ashley Wu: Thank you, Mr. Dong, and hello everyone. To expand on Mr. Dong's remarks, I will now provide some updates on our content enrichment and diversification initiatives. On the professional E-sports content front, we broadcasted around 80 third-party E-sports tournaments in the first quarter. This year, we are deliberately being more selective in tournament procurement to ensure high-quality content offerings and improve ROI metrics. We were glad to see that during the first quarter, total viewership of licensed E-sports tournaments reached more than RMB700 million, exceeding the previous quarters viewership, despite the fact that, due to seasonality, the first quarter of the year is typically not a strong period for E-sport events. In particular, CFPL Spring Seasons viewership reached a record high this quarter more than doubling compared to the 2021 Spring Season. LPL Spring, KPL Spring, LCK Spring and ESL Pro League, F15 were also top performance tournaments during the period. Our comprehensive E-sports content continue to serve as the key drivers of our – of user traffic and through a superior experience for all of our users. In addition to licensed E-sports content, we broadcasted 26 self-organized E-sport tournaments and entertainment PTC shows during the first quarter, generating approximately 86 million total viewership. During the Chinese New Year holidays, we have Huya Live league event, which feature popular streamers from different categories as participants in several online games, offering our users in closing content and entertaining festival experience. The Huya, CFM Championship Long Term Cup, which Mr. Dong mentioned earlier, and The Huya Super League, a tournament for PC and Solo games were also well like Huya branded E-sports events in the first quarter. Additionally, our comment ratio for LPL, HUYA Game Watch Room [Foreign Language] has become a major channel for game lovers to enjoy professional game play analysis during the LPL season. We strategically adjusted our investment in self-produced events this quarter, because we had abundant offerings of license events during the period. And in pandemic related lockdowns in a few major cities which impose some delays on in-house variety show production. Nevertheless, those events we broadcasted in the first quarter achieved satisfying results. Furthermore, we have been continuously improving our video production and viewing experience for users. On the product end, we are integrating video content with our newly added discussion forum in streaming channels. We've been a specific game or tournament forum users can upload videos of game plan, or tournament highlights to share, watch and discuss with their peers, helping to create a dynamic content ecosystem on our platform. Encouragingly, in the first quarter, the number of reduced uploaded on our platform grew by 12% quarter-over-quarter and retail viewership recorded nearly 50% sequential growth. Next, let me walk you through our Q1 financial results. Unless otherwise specified, the growth risk, I will be reviewing are all on a year-over-year basis. Our total net revenues were RMB 2.46 billion for Q1, decreasing by 5.4% year-over-year. Live streaming revenues were RMB 2.15 billion for Q1, compared with nearly RMB 2.5 billion for the same period last year. The decline was mainly due to lower average spending per paying user on Huya Live, as the macro softness continue to adversely affect paying users sentiment. The number of paying users for Huya Live was 5.9 million, relatively flat compared to the same period last year and representing a net addition of 0.3 million compared to Q4 last year. We believe the increased user engagement level and time spent in Q1 contributed to the sequential increase in paying users. Advertising and other revenues increased by 47.2% year-over-year to RMB 313 million for Q1, primarily driven by the increase in content licensing revenues. In this Q1, we were able to recognize more of sub-licensing revenues according to the licensing event schedule. Cost of revenues increased by 1.9% to RMB 2.1 billion for Q1, primarily due to the increase in revenue sharing fees and content costs. Revenue sharing fees and content costs increased by 3.4% to RMB 1.8 billion for Q1, primarily due to the increase in spending on e-sports content and the increase in revenue sharing fees in relation to certain broadcaster incentive programs. Bandwidth costs decreased by 7.3% to RMB 168 million for Q1, primarily due to improved bandwidth cost management and continued technology enhancement efforts. Gross profit was RMB 334 million for Q1 compared with RMB 514 million for the same period of 2021, primarily due to lower revenues and increased cost of revenues, primarily driven by higher revenue sharing fees and content costs. Gross margin was 13.5% for Q1. Excluding share-based compensation expenses, non-GAAP gross profit was RMB 347 million, and non-GAAP gross margin was 14.1% for Q1. Research and development expenses decreased by 1.4% to RMB 196 million for Q1, primarily due to the decrease in share-based compensation expenses. Sales and marketing expenses increased by 0.3% to RMB145 million for Q1. General and administrative expenses decreased by 3.9% to RMB81 million for Q1, primarily due to the decrease in share-based compensation expenses. Other income was RMB28 million for Q1 compared with RMB76 million for the same period of 2021, primarily attributable to realized damages received in the first quarter of 2021 from a favorable outcome in a broadcaster-related lawsuit. As a result, operating loss was RMB60 million for Q1 compared with operating income of RMB162 million for the same period of 2021. Excluding share-based compensation expenses, non-GAAP operating loss was RMB3 million. And non-GAAP operating margin was negative 0.1% for Q1. Interest and short-term investment income were RMB59 million for Q1 compared with RMB65 million for the same period of 2021, primarily due to decreased interest rates. Income tax expenses were RMB9 million for Q1 compared with RMB39 million for the same period of 2021, primarily due to lower taxable income. Net loss attributable to HUYA Inc. was RMB3 million for Q1 compared with net income attributable to HUYA Inc. of RMB186 million for the same period of 2021. Non-GAAP net income attributable to HUYA Inc., which excludes share-based compensation expenses and gain on fair value change of investments, net of income taxes was RMB47 million for Q1 compared with RMB266 million for the same period of 2021. Non-GAAP net margin was 1.9% for Q1. Diluted net loss per ADS was RMB0.01 for Q1. Non-GAAP diluted net income per ADS was RMB0.19 for Q1. As of March 31, 2022, we had cash and cash equivalents, short-term deposits and short-term investments of RMB 10.47 billion, compared with RMB 10.96 billion as of December 31, 2021, primarily due to the increase in investments and prepayments to content providers. With that, I would now like to open the call to your questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Thomas Chong from Jefferies. Please ask your question.
Thomas Chong: [Foreign Language] So my question is about our overseas business. Just wondering, what will be the reason behind the adjustment, and what will be the impact on our business? Thanks.
Rongjie Dong: [Foreign Language] Given the rapidly changing business environment, domestically and internationally, we have strategically implemented some adjustments and refinements with respect to Nimo TV's operations, concentrating our resources on future key geographic regions, while these adjustments could result in short-term contractions in overseas user expansion and revenue growth as we downsize our overseas presence in certain areas and might have some non-recurring expenses, but we expect to improve the overall efficiency of our international business by directing resources to regional markets with greater potential for profitable business growth at a lower cost. We believe that this more focused approach will benefit our overseas operations in the longer term.
Hanyu Liu: Okay. Let's have the next question.
Operator: Thank you. Your next question comes from Yiwen Zhang from China Renaissance. Please ask your question.
Yiwen Zhang: [Foreign Language] So, thank you, management for taking my question. So, I have a quick question on the traffic side. So, game license [indiscernible] in April and also COVID to some cities expected to lockdown [ph]. So what are their impact to our CapEx side? Thank you.
Rongjie Dong: [Foreign Language] Thank you for your question. For the longer term, the resumption of licensing of games is positive development for the gaming industry. As a downstream player of the game industry, Huya we believe that this will be helping us to enrich our content for live streaming. Also at the same time, Huya has the best operating capacity in terms of new games. So, we stand in a more advantageous position when gaining traffic from those new games, and it would be positive for our long-term user expansion. In addition, the resumption of licensing games will be motivating the advertisers on the games, which is a positive on our advertisement business and the platform. In the short-term, I think people will be looking more at the business side, whether or not the new games are being released are suitable for live streaming and whether or not the new games are well received in the users. And we are also keeping an eye on the pulse of the market and given the fact that the resumption of licensing games only began in April, the impact of such on our business, especially advertisement business, is pretty much limited for now. As for the impact of COVID in terms of the traffic because some cities that implemented these lockdown measures or stay-at-home measures, well, there are some positive impact for our traffic as well as game live streaming, but because this policies are somehow normalizing. So compared with the beginning of 2020, the positive impact on our traffic is relatively smaller versus that time in 2020. In terms of revenue, for the consuming behaviors for our online users as well as the demand for advertisement from our advertisement merchants, there will be some pressures because of the COVID. And therefore, in the short-term, we expect to have some impact on the revenue in this regard. We will continue to keep a close eye on the impact of COVID on our business. And we will also ensure that we can provide very good guarantee. And we could provide protections and great support to our colleagues who are under the impact of lockdown measures.
Hanyu Liu: Okay. That's it. We can have the next question.
Operator: Thank you. Your next question comes from the line of Brian Gong from Citi. Please ask your question.
Unidentified Analyst: [Foreign Language] Thanks management for taking my question. This is Katrina [indiscernible] from Citi asking on behalf of Brian. Can management have assessed the impact of the new regulation on minor protection rollout in May, especially the restriction on ranking and PK [ph] those features? And also, what's our expectation for further detailed policy on other areas ahead? Thank you.
Unidentified Analyst: [Foreign Language]
Ashley Wu: Thank you. I'll take your question. Our industry has been under scrutinizing of the regulators of the past period. And recently, the regulators has released opinions on regulating keeping behaviors on live streaming and better protections for miners. And we believe that this, changes are to better regulate the industry so as to make sure that its long-term and sustainable growth in a more healthy way. [Foreign Language] We have been keeping a very close eye on the latest changes in terms of regulations and guidance. For these latest opinions on protecting the miners, we would make sure that we strictly abide by all the relevant regulations and guidance and earnestly implementing them after more operating details became available. We will have to make some adjustments in terms of our product and operations, and we will try to do that as soon as possible. This might mean some changes to our financial and operational metrics, and we are now evaluating the scale of the impact. We think that this possible changes in adjustments may have a very limited impact on the core -- on the demand of the core users on our platform. And we would, of course, dynamically addressing our operation and monetization policies so as to minimize the impact from such regulation changes. [Foreign Language] At the same time, we continue to enhance our capacity in complying with the regulations and make relevant investments in our technology so as to be more addressable to the regulation changes. At the same time, we'll continue to invest in good quality content, upgrading our product and keep our competitiveness in the market.
Hanyu Liu: Okay. Thank you. Let’s have the next question, please.
Operator: Thank you. Your next question comes from the line of Lei Zhang from Bank of America. Please ask your question.
Lei Zhang: [Foreign Language] Thanks management for taking my question. My question is mainly regarding our cooperation with Tencent and any updates in terms of the new initiatives, any change in regulatory environment? Thank you.
Rongjie Don: [Foreign Language] Thank you for your question. The cooperation between Huya and Tencent are progressing very well. First of all, we keep a very close synergy relationship with Tencent in terms of games and tournaments. For instance, in the first quarter, in our self-produced CFM long-term cup, we have worked together with CFM Games for a joint membership. Users can participate in our activities and will be able to enjoy the privileges and benefits both on Huya and in-game. On one hand, it increases the exposures of Huya platform in the users and also at the same time, they would be become active -- more active in both the game and live stream platform. And this feature become very popular amongst the users and the results have been recognized by the game studio. We hope to expand such cooperation to more games. And we could have more synergetic activities in terms of LOL mobile, in terms of our product operation as well as communities. So they will be able to enrich the user experience for our users on top of the live streaming content. And right now, we are having a leading market share in terms of live streaming for LOL mobile. And at the same time, we had held two Zhanshen cup for now, which is a self-produced tournament license officially by LOL Mobile. At the same time, Huya had some very special interactive features, for instance, gift dropping or live streaming e-commerce that have been applied to video -- that have applied to games in Tencent. For instance, for the gift dropping, it has been applied to more than 20 games in Q1 with over 10 million active users. And for on keeping Elite as well as the CODM, they've got very nice results so far, and we plan to apply those interactive features to more games and more categories. [Foreign Language] As a company that produce content by -- that produced technology-driven content, since 2021, we have been making some very nice progress in having these interactive features and also to generate some interactive content. Our content metrics are able to cater for the needs for the users, both before and after the game play, and that is positive for the promotion of games as well as retention of players and users. We will continue to do it by giving more interactions on the live streaming and having some more active community features so as to retain our users and to have better connections of our users, live streamers as well as game studios and players, so as to play a bigger role in the entire industry of game.
Hanyu Liu: Okay. Thank you. Let's have the next question, please.
Operator: Thank you. Your next question comes from the line of Ritchie Sun from HSBC. Please ask your question. 
Ritchie Sun: [Foreign Language] Thank you management for taking my questions. So first of all, as we noted, some of their competitors are changing their content strategies or even exit the business, so how should we think about the long-term adjusted net margin profile under this new competitive landscape? And secondly, how should we think about the headcount and also budget allocation plans across R&D, sales and marketing and G&A expenses for this year? Thank you.
Rongjie Dong: [Foreign Language] Thank you for your question. We noticed the strategic change by our competitor and from Huya's point of view, we think that is a positive trend for us as this will alleviate the competition landscape.
Ashley Wu : [Foreign Language] Given where we are right now in Huya, Inc., we will continue to have more stringent control over our cost and expenses and optimize our operating efficiencies. Overall speaking, it is necessary to continue to invest in high-quality content and product, because that is positive to make sure that we will continue to serve our users well and to consolidate our leading position in a competition. [Foreign Language] In terms of revenue sharing fees with the live streamers, recently, the market layout does not changed a lot. So given our operation and monetization capabilities on Huya, we think that the current regime for revenue sharing is competitive and therefore, we will keep that way unchanged. [Foreign Language] In terms of licensed product and self-produced products, we will have more detailed analysis as to the ROI of different kind of content, and we will allocate our resources to more effective content and make adjustment according to the market dynamic. For instance, in Q1, we have made a more selective approach in investing in licensed tournaments and self-produced content. [Foreign Language] At the same time, we'll continue to optimize our technology on the bandwidth and make it more efficient. And we would also make more optimization in terms of sales and marketing and other operating expenses and to have more stringent control in terms of labor costs and other expenses. [Foreign Language] We had also mentioned that we are making some strategic adjustments to our overseas business, which, in a way, constitute as the method to control our cost. In terms of the margin for the short-term, because of business adjustment for the quarter, there might be some non-recurring expenses and costs for the quarter, and that would sent some turbulences to our margin level. However, if you look at the entire trajectory for the whole year in terms of investment and revenue, we expect that the content cost as a percentage to revenue in 2022 will be slightly higher than 2021. And therefore, the overall gross margin rate for the whole year might be affected. And due to that, we believe that operating margin in 2022 versus 2021, will be slightly lower. But of course, we will continue our effort in optimizing our cost and operational efficiency, so as to lay down a good foundation for our long-term development.
Hanyu Liu: Okay. That’s it.
Operator: Thank you. As there are no further questions now, I'd like to turn the call back over to the Company for closing remarks.
Hanyu Liu: Thank you once again for joining us today. If you have further questions, please feel free to contact Huya's Investor Relations through the contact information provided on our website or the TPG Investor Relations. Thank you.
Operator: This concludes this conference call. You may now disconnect your lines. Thank you.